Operator: Welcome to the Angi First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Andrew Russakoff, CFO. Please go ahead.
Andrew Russakoff: Thank you, operator. Good morning, everyone. Andrew Russakoff here, CFO of Angi Inc., and welcome to the Angi Inc. first quarter earnings call. As a note, I go by Rusty, so everyone should please feel free to refer to me as Rusty. And joining me today is Jeff Kip, CEO of Angi Inc. Angi has also published a shareholder letter, which is currently available on the Investor Relations section of Angi Inc.'s website. We have also made some changes to our metrics disclosures this quarter and have published a short deck on the website to provide more helpful context and explanations. We will not be reading the shareholder letter or presenting the metrics primer deck on this call. I will soon pass it over to Jeff for a few introductory remarks and then open it up to Q&A. But before we get to that, I'd like to remind you that during this presentation, we may make certain statements that are considered forward-looking under the federal securities laws. These forward-looking statements may include statements related to our outlook, strategy and future performance and are based on our current expectations and on information currently available to us. Actual outcomes and results may differ materially from the future results expressed or implied in these statements due to a number of risks and uncertainties, including those contained in our most recent quarterly report on Form 10-Q, our most recent annual report on Form 10-K and in the subsequent reports that we file with the SEC. The information provided on this conference call should be considered in light of such risks. We'll also discuss certain non-GAAP measures, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our earnings release, shareholder letter, our public filings with the SEC and, again, to the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now let's jump right into it, Jeff.
Jeff Kip: Thanks, Rusty, and welcome, everyone, to Angi's first quarter earnings call and our first as an independent public company. I'm going to offer modestly longer introductory remarks today than we would normally, given our release of the new operating metrics that Rusty just mentioned. Overall, our first quarter performance was solid. As many of you know, we implemented homeowner choice in the quarter. Homeowner choice means that every lead sent to a pro on Angi is sent because a homeowner has specifically and affirmatively taken action to choose that pro in our user interface. A year ago, about 40% of our leads were automatched and, today, essentially none are. We could explore some automatched leads in the future for customers who want that product, but today, we have none. For context, homeowners are happier when they're able to choose the Pros who contact them and are significantly more likely to hire a pro with whom they have selected versus pros with whom they've been automatched. Since we implemented homeowner choice in January, we have seen our homeowner Net Promoter Score, key metric for homeowner satisfaction, near positive for the first time since we started tracking the metric. The metric was below negative 30 two years ago. A positive 30 NPS move in that kind of time frame is a significant accomplishment. I've got to tip my hat to the entire organization for their hard work over the last couple of years. Further, our pro win rate, the percent of the time a pro wins a job on a lead they pay for jumped 10% from before homeowner choice to after. And that is a key indicator, too. Pros don't come to the platform to chat with homeowners, they come to win work. Both metrics are key indicators that we're getting more jobs done well. A job done well is the North Star experience for customers on both sides of the marketplace. Homeowners come to Angi to find a skilled, reliable pro to get their job done well and, as I just mentioned, pros come to Angi to be hired to do jobs well. Of course, while we believe that driving jobs done well is the key to long-term value creation for Angi, for our homeowners, for our shareholders, for our team, the move to homeowner choice did impact our financial performance in the short term. Nearly all of our first quarter revenue drop can be attributed to the impact of homeowner choice on lead volume in our network channel. This is a good transition to discuss the new metrics we released last night, metrics we believe will help investors better understand the movements in our business. Given that this is new disclosure and new framework, I'd like to take a few minutes to walk through it. Thanks in advance for your patience. Let's start with the breakout of Service Requests and Leads, which we previously called monetized transactions into Proprietary and Network Channels. The key distinction between Proprietary and Network Channels is who is in control of the homeowner customer experience and service request details. In Proprietary Channels, we, Angi, control the experience and details of the job. Proprietary channels include: first, all traffic on our owned and operated brands, domains and apps, which, by definition, go through our proprietary customer experience; secondly, traffic from referral partners who send homeowners directly into our customer experience and service request submission path. And finally, customers of our retail and real estate partners from whom we can obtain the exact details we need to know for the job to be done and match well to our pros. The Angi Network Channel, on the other hand, consists of third-party affiliate partners who bring homeowners through their own user experience and questions about the service request and show our pros for selection through our widget technology on their site. Obviously, in this case, our partner is in control of the experience and the job details. Let's move to the actual numbers in the release. You'll note the 33% and 57% step-downs in network service requests and leads, respectively. These declines were the result of requiring network channel homeowners to choose their pros. Before the January rollout of homeowner choice, all network service requests were automatched to pros. Post-rollout, we're seeing only about half of network homeowners choose at least one of our pros. It's a little lower than our proprietary customers taking action percentage, but this is driving the decline in lead volume and fewer SRs as well because we have less revenue per SR with which to market. As noted, this change accounts for nearly all of our lead volume drop and thus, effectively nearly all of our revenue dropped in the first quarter. Secondly, it's worth noting that proprietary service request declines have decelerated materially and actually improved sequentially each month in the first quarter, and proprietary lead declines have decelerated to nearly flat for the quarter as a whole. Implicit in our 2026 revenue guidance is that the network channel will remain flattish year-over-year comparing to the significant drop we've experienced in the first quarter of 2025, and we expect to hold through the remainder of the year, and proprietary lead volume will move to growth. On top of that, with our move to selling a single pro product and with migration of our Ads pros to the single pro platform in the third quarter, we expect revenue per lead to start growing in the second quarter of 2025. So to do the basic math, flat network volume plus growing proprietary volume plus revenue per lead growth mathematically adds up to revenue growth in 2026 and sequential quarterly improvements in revenue declines in 2025. Okay. Moving now to our active pro network metrics. I would first note that the volume of newly acquired pros has been coming down. Importantly, I would remind you that we -- as we noted in the shareholder letter, that the value creation on the smaller base of pros and smaller sales force is nearly 150% greater than a year ago despite acquiring 41% fewer pros in the first quarter. So we're acquiring fewer pros, but with greater capacity and generating much more aggregate lifetime value, which is, we think, pretty clearly the right way to run the business rather than paying for unprofitable volume growth. We anticipate that we'll grow the number of pros next year, i.e., 2026 and add to total capacity both because we'll stabilize our sales headcount and because we anticipate rolling out online pro acquisition in the second half of this year, and we'll likely see growth in the raw number of pros by 2027. It's not the raw number of pros per se that drives capacity, it's the capacity per pro. And in terms of our capacity for growth, it's worth noting that if you do the math on leads per active pro looking back the last few quarters, you'll notice that we're at roughly 11 leads per pro in the first quarter, but 15 two quarters ago in the third quarter of 2024. So we have significant capacity in the existing network, along with the capacity that we'll add during the rest of this year in 2026, meaning we have plenty of capacity to grow into in 2026. The next change in the metric I would point to is that we've moved our pro network to an average monthly active basis from a quarterly paying or transacting basis because, first, our operating focus is to drive pros to engage with homeowner service requests because without engagement, there are no jobs done well, hence, the shift from transacting to active pros. Secondly, because we run the business on an active monthly basis, we think showing the metrics this way more accurately reflects our operating approach. We've also placed our previously acquired pros into cohorts so that you can see the year-over-year retention in each cohort clearly. Newly acquired Pros in the last 12 months have what we would term an activity rate rather than a retention because by definition, they have no prior year activity. We are focused on activating and retaining our pros in their first year. Pros acquired more than 12 months and up to 24 months ago have different retention characteristics than what we call the base cohort, which are pros acquired more than 24 months ago. And thus, we have split the cohorts to show the performance separately. I would note that retention for each cohort is meaningfully improving. Base cohort retention is up 8% for the trailing 12 months versus the prior period as of Q1 2025, and retention for pros acquired in the 12 months ended Q1 2024 is up 16%. Activation rate has improved as well, also by approximately 16%. Thus, apples-to-apples, had acquisition of new pros been level over the last several years, the network would be growing, driven by the improvements in customer experience, which in turn translated into significant retention and activation campaigns across each cohort. So to wrap up, our split of Service Requests and Leads in the Proprietary Network Channels show more clearly the drivers of revenue declines in 2025 and our path back to growth in 2026. Looking at leads per active pro on an average monthly basis also shows the capacity in our network to absorb the growth going forward. Finally, our move to active pro cohorts allows investors to more clearly see the dynamics between declining acquisition and improving retention and activation in our network and with the anticipated acceleration of new pro acquisition in 2026 shows the path back to network growth. Thanks, everyone, for taking the time to listen to my explanation, and now we can move on to your questions. Operator.
Operator: [Operator Instructions] And our first question comes from Eric Sheridan from Goldman Sachs. Please go ahead.
Eric Sheridan: Thanks so much for taking the questions, and thanks for all the detail in the shareholder letter and explanation. The first one would be on the macro environment. When you think about the macro environment you're operating in right now, I want to know if you could contrast elements of consumer wallet spend against the services landscape you're trying to operate in when compared to the broader competitive landscape for those dollars, just to click down a little bit on the broader landscape today. And then second, when you think about the margin framework you're laying out for the remainder of this year, how should investors think about the investments being made in product and platform and the transition that's impacting margins this year relative to the yield or the output that can produce the type of growth you're talking about in 2026 and beyond?
Andrew Russakoff: All right. Thanks, Eric. This is Rusty. I can take these both. On the macro, as you're all well aware, virtually every business is prioritizing macro. And in home services, just like in other industries, it's typical and rational for consumers to pull back on large and discretionary purchases in recessionary environments and instead focus more on necessary maintenance and work that will prevent larger expenses down the line. And that's what the survey data is suggesting. So for our business, in early April, we did see a modest bump down in homeowner volume along with some mix down in job size, leading to what we think is an impact versus our run rates of three to five percentage points, as pointed out in the shareholder letter. And so we've incorporated this into our outlook for the rest of the year. For some broader context, in our position within the industry, there are some countercyclical dynamics that do tend to factor into the mix for us. The fact is we're a small fraction of the overall industry, and our biggest competitor is still word of mouth. So what general macro weakness means for pros is that pros are seeing their order book shrink and their calendars open up and that it's coming generally, meaning from all directions, including their bread and butter referrals and repeat customers. When that happens, they need to fill that void with additional sources of demand, which in turn, naturally drives them to rely more on us. And when that happens, it leads to easier customer acquisition, stickier customer behavior and increased share of wallet. And so if you look back into some past cycles, we have typically seen some combination of pro acquisition increases and cost decreases and higher lead consumption per pro. And this usually gives us some downside protection when consumer confidence falls. We actually experienced this in both directions. So during COVID, when home improvement demand soared, you'll remember everyone in America wanting to build a pool in the summer of 2020, well, pros had their phones ringing off the hook. And we were limited in our ability to fully participate in the upside that was flowing through the rest of the industry. Then over on the homeowner side, an offsetting factor is that when it becomes more difficult for people to free it up with their homes, people do end up shifting behavior. So rather than moving to a bigger house, maybe they'll build an addition. Maybe they'll buy an older house in need of repair. And in fact, that lower velocity environment is one that we've already been living with for a little while. So some of that behavior has already become normalized into our performance. And then finally, as we highlighted in the letter, roughly two-third of our business is nondiscretionary. And that's whether you look at it by SRs, by leads or by revenue. And this is the most protected pocket of volume because the roof obviously doesn't wait for the economy to recover before it springs a leak. So the way I look at is, we'll continue to carefully monitor the impact of the tariff and macro uncertainty on our customers. On the other hand, operationally, we are in the fortunate position of not having a direct supply chain and having to disrupt the operations of our business, trying to reengineer one. So against that backdrop, we've given our full year guidance based on our best understanding of the state of the industry and the consumer today. As we all know, there are a lot of puts and takes and a lot of moving pieces, but we carefully assess where the business is running, what we know about the rest of the year and what we know based on evidence about the impact our initiatives may have on our performance, and we put the best foot forward. I think your next question was about investment and our margin framework. On that, over the last few years, we've made material investments in the customer experience, and we have dropped a significant amount of revenue to do so. Where are we as a result of that? We've not only seen the positive impacts in our customer metrics, most notably, the NPS and win rate improvements that Jeff mentioned before, but we've also been able to drive material operating efficiency. So simply, we've been growing profit despite the lower revenue. Additionally, we have been very disciplined with our fixed costs. If you look at the combined total of fixed expenses and CapEx, we reduced our overhead by $100 million versus 2022. And we still believe we are well staffed to drive the investment we need to deliver 2025 and return to growth in 2026. We've been talking a lot about homeowner choice and the sales force consolidation. And these really represent the last material investments in the ecosystem that can set the stage for that profitable growth into 2026. And as you know, there will be always puts and takes, but we think that, in general, we are done with shedding material pieces of the business. This means we believe we can continue to drive both our customer experience and revenue growth at this level of fixed cost investment we have today. One area that we would look to look -- we would expect to look more closely at in 2026 is whether we spend more on TV and offline advertising. We decided to run a little bit lighter in 2025 to allow some time to absorb the change to homeowner choice. We'll monitor the performance of our TV spend over the course of this year and then factor that into our planning for 2026. And of course, if we identify any incremental high ROI opportunities that warrant substantial investment, it would just be appropriate for us to consider them. And so our guidance for the year reflects stability from an investment standpoint. And then -- so to reiterate what Jeff laid out, the formula for the near future is to focus on the tailwinds from revenue per lead, and performance from our proprietary channels. Those two things being the main driving forces behind return to revenue growth in 2026. And then additionally that, that growth will come with high incremental margins as we expect to be able to hold on to all of the improved unit economics as we grow that revenue and gain operating leverage over a fixed cost base that won't need to grow into 2026.
Eric Sheridan: Great. Thank you, Rusty.
Andrew Russakoff: Great. All right. Operator, next question, please.
Operator: Next question comes from Cory Carpenter from JPMorgan. Please go ahead.
Cory Carpenter: I had two. Maybe just tying together your comments, Rusty, on macro and, Jeff, what you said earlier about the home -- where you're at in the homeowner experience. Could you just speak to what's giving you confidence in the revenue trends continuing to improve through the year given those dynamics? And then secondly, now that you're a standalone company, it would be great to hear your capital allocation priorities.
Jeff Kip: I can take those. Thanks. I think in terms of -- I think we sort of laid out our confidence in our revenue trends with a significant improvement in the trajectory of proprietary SRs and leads plus what we anticipate to be solid growth in our revenue per lead, we're going to be able to get to improving revenue comparisons year-over-year and thus sequentially improving our declines. There's some benefit in terms of compares in the third and fourth quarter as we started to implement some of the principles of homeowner choice. So we think we're in a good position in terms of the rest of the year and then heading into next year, where, again, we think that the network channels flatten out. So when you're growing 80% of the business and flat in 20% of the business, you get growth. So that's how we're thinking about that. In terms of use of capital, I think there's a few categories. Obviously, we just bought back a reasonable chunk of shares. And our approach is to, from time to time, as appropriate, buy back shares to account for dilution either backward-looking or forward-looking. And we've demonstrated that we will do that over time. In terms of other capital allocation question, which is likely what's our acquisition approach? As we said before, we're still in the process really of digesting multiple acquisitions in the American business that we've acquired over time. We've got a significant amount of work there to do. So we do have core opportunities that mean adding another big chunk would require additional integration. That being said, even though we're focused on our core operations, if we thought there was something to do that was accretive to our shareholders and a positive use of our capital and strategically critical, we wouldn't hesitate to take a look and maybe even do it. I don't think that our stock would be a major acquisition currency. There's some limitations with what you're able to do around a tax-free spin-off. But I think that's generally how we think about our capital approach over the next couple of years.
Cory Carpenter: Thank you.
Operator: The next question comes from Justin Patterson from KeyBanc. Please go ahead.
Justin Patterson: Thanks. Good morning. Jeff, you've made a lot of foundational changes to Angi in the experience for consumers and pros. As you look over the course of '25 and into 2026, what do you view as the next product initiatives to take more friction out of the ecosystem and improve jobs done well? Related to that, how does AI change your view on the product experience you can provide and potentially introduce some operating efficiencies over time?
Jeff Kip: Great. Those are great questions. So we anticipate that we are going to continue on our most core initiatives through the next several months. And those are getting the conversation with the homeowner to ask the right questions to get the right job details to get the right match. We're doing that both through significant iteration on our set of questions, which we expect to be materially done in the second half of the year. And just to reference your second question, we've added an LLM-based AI helper in that homeowner path, which is going to help increase and already is increasing the quality of the match without actually hurting conversion. The team has done a great job with that product. And so we have a very high focus on making sure we get the job details right from the homeowner in a way that the homeowner understands to be able to match to the pro so that the pro gets the work the pro wants. I think the second piece there also drives matching, and it's the single pro product initiative we've been talking about. One-third of our revenue is coming from the old Ads product. Ads pros have less specific choice over the tasks they opt into than the Leads pros given the nature of the platform and the product. They're also required to take certain sets of ZIP codes, certain territories without having the flexibility to pick and choose. We're moving all of those pros and all of the new pros into a situation where they are able to pick and choose upfront. This is going to drive multiple things. First of all, the homeowners are going to get contacted more. The contact rate is lower with the Ads pros because they get some leads that they don't actually want because of the basket they bought. Secondly, the pros will actually very specifically pick what they want, meaning we'll have higher engagement, and we will know much better exactly which jobs to match to exactly which pros, based on task and geography. So we see moving to a single pro product as a significant uptick in the customer experience because we're going to match better. Matching better means you're more likely to get a hire and a job done well. Those are two critical pieces. I think beyond that, we have opportunities to drive the connection and interaction post-match. We've had a reasonable amount of success driving our messaging and communication in Europe, and we've been able to drive up our hire rate nearly 50% over a couple of years. We've obviously had big gains in the U.S., too, but we think we have more runway in terms of driving the post-match experience. And then I think let's moving to AI. We think about AI as a technology that can facilitate our experience everywhere. The first place we're getting it out with impact on the customer is obviously what we call the SR path and the conversation with the homeowner to ensure we understand the job correctly and get the right match. There's obviously a number of other applications. As we roll out online pro acquisition, there's opportunities to use AI to enhance that path. You then can imagine that the AI and LLM interface allows us to move to smoother chatbots that we can use not only on site, in the app, but also through voice and text. I think moving on from there, you can apply the same principles to the customer interaction with, first, our care operations teams; and secondly, our sales operations teams where we can drive more efficiency and success in terms of contact rate and solving the customer problems using AI in chat interfaces and perhaps voice interfaces on top of the human calls. I think I can go on and on from there because I think the LLM is fundamentally technology we can use to elevate our experience in multiple places and make it an easier, smoother and higher converting conversation, not just to the placement of SR or the onboarding of a new pro, but the actual connection and conversation between the homeowner and the pro that leads to a job done well.
Justin Patterson: Thank you.
Operator: The next question comes from Stephen Ju from UBS. Please go ahead.
Stephen Ju: Okay. Great. So I was wondering if you can give us some color on the cross currents of what might be affecting your revenue growth, particularly in international as that seems to have swung to -- sorry, a year-over-year decline. And secondarily, on -- thanks for the disclosure, by the way. The monthly active pros, it seems like that number has basically hit a trough or is in the process of hitting a trough as you churn off those you acquired previously. So it seems like directionally, the number of pros you're acquiring right now, and I guess the implied churn is starting to converge. So I guess it's sort of inevitable that, that will hit a trough and start hopefully accelerating. So just additional color there. Thanks.
Jeff Kip: Right. So I can take these. So first of all, in terms of international, there's a couple of pieces there. The first piece is our Canadian business was in a bit of a tough shape on its old platform. It was a high consideration negative ROI, high outbound sales model. And what we've done is we've moved that business to the international platform, which is a lower consideration, but very high ROI pro acquisition and higher-margin business. And so what we are doing there is we are churning off that high value but lower customer experience subscription value. We've eliminated our sales force. We moved to online acquisition. And so the revenue is coming down, but the profitability has already jumped materially. This is something at smaller scale we've done in each of our European businesses over time, and we've gotten tremendous margin leverage and profit growth there, along with some solid revenue growth over the last few years. That is mathematically because we're dropping that revenue significantly, that's mathematically pulling international down. There's also some impact from regulatory matters in Europe about a little over a year ago, we started having to take newly acquired pro-IDs, which is a conversion hit. And potentially, we were getting some pros on the platform who didn't have the proper ID and weren't uploading it, but we've taken some conversion hit in our new pro acquisition. And then as of the beginning of this year, we had to roll in ID checks for all of our existing Pros. This is the Digital Services Act in Europe. It's a Know Your Customer for marketplace businesses. And so we have taken a 5% to 8% impact on our network just based on this conversion on the ID, which is a temporary slowdown, which effectively will annualize. And there's a couple of other matters with GDPR that are impacting cookies and other things that impact there. That being said, the core of the business is very healthy. As I've noted earlier, over the last couple of years, we've improved the rate at which a homeowner is submitting an SR on the platform, hires a pro on our platform. So we're pretty pleased. We have double-digit positive homeowner NPS. We're pretty pleased with the core operation of the business. It's approaching 20% margins. It's high teens, and we think we'll get that back on track. In terms of monthly active pros, as I said earlier, we expect some continued declines in the gross number. It's the byproduct of a couple of things, very high and unprofitable acquisition in prior, where we're still keeping some of those pros, but we never would have had them had we been acquiring at the same ROI and margin generation we were today. So that's got to -- kind of wind down over time, and we have lower acquisition. However, our acquisition is at higher capacity with each newly acquired pro. So what optically is going to look like declines continuing into 2026 is masking what's real capacity growth and untapped capacity in the network, which is why I said earlier, we have plenty of capacity to achieve the growth we need in 2026. We think that, that number will cross over by 2027. It depends a little bit on how online enroll works as it rolls out. A couple of facts there. We're acquiring close to 140,000 pros a year in Europe in a smaller market because we don't cover all of Europe with online enroll. We don't expect anything like that in the U.S., but we do expect to get some yield. We've also run a test in the Boston market using our European platform, which has suggested that online enroll can directionally work as well in the United States as it does in Europe. Obviously, it's a small market test. That's a relatively high GDP per cap market. And so we've got to prove it out at larger scale, but we should have that out. We should have the online marketing program that we've sort of iterated on into very solid execution in Europe ready to go out. We have some optimism there. And thus, we do see our pro network growth crossing over into 2027, although we really have to see how it all plays out.
Operator: [Operator Instructions] And our next question comes from Dan Kurnos from The Benchmark Company. Please go ahead.
Dan Kurnos: Great, thanks. Good morning. Jeff, can we just follow up on that for a second, the pro pool? I mean if we think about the rich history, data history that Angi has, and we think about either reactivations versus attacking new pros, as you build the pool, should we think of kind of like a smaller, more concise, but more engaged and, call it, like top 20% of pros is sort of the near-term target here and that your customer acquisition cost is substantially lower. And then on marketing channels, Rusty talked on it. But again, now that you guys have this reset, love to hear how you guys are thinking about attacking paid channels in kind of different ways, especially given low organic brand recognition. I know you guys are talking about TV, but I'm more curious about attacking social and other channels as you guys start to see SRs recover.
Jeff Kip: So I think what you got to there, Dan, is a pretty good way of talking about what we're doing on pro acquisition, which is we've significantly reduced the sales base. We've reduced our pro acquisition less, but we've materially increased our capacity per acquired pro. And to your point on lower acquisition costs, that's why when we say our net margin, we mean what's the lifetime value of the pros acquired minus the cost of that sales force in any marketing. So the fact that we're up nearly 150% year-over-year is actually the data behind the hypothesis you just suggested that we're concentrating on higher value, higher capacity pros and spending a lot less money doing it, and we're generating a lot more forward value, which, again, as I said earlier, I think is exactly what we want to do. You're also right, we do have a rich database of pros who've used us at one time. And frankly, the move to the new model gives us an excellent opportunity to reengage and attack with reactivations that we think will help us a great deal over the next year or two in terms of our acquisition. So we expect smaller sales force, fewer Pros, but that number flattening out and then growing in 2026 and more capacity per pro. So we see capacity growth, but probably not raw volume growth that way. In terms of your comment on paid channels, what you're suggesting is, are we attacking paid channels? Are we getting better yield? Are we getting better acquisition there? This is exactly how we brought our proprietary lead growth back to neutral and the decelerating declines -- am I saying that right? The decreasing declines through the fourth quarter in SR growth and our expectation that we grow that in the coming year. So we have had actually tremendous success at turning and growing our SCM acquisition, believe it or not, I realize Google is the traditional source, but we are really materially growing that source year-over-year. We've also had success getting into display networks and now META's ecosystem and acquiring a significant number of jobs at good ROI. We have a very strong paid marketing team who's delivered excellent performance over the last year or two. And we are -- we have been able to really step up our acquisition in proprietary channels despite any impact on the kind of organic ecosystem. So we're pretty pleased with that. It's a key part of our success to date, and it's a key part of our success going forward. And again, I sort of have to tip my hat to the teams that have been involved in there across product tech, marketing and elsewhere.
Dan Kurnos: Super helpful, Jeff. Thank you very much.
Andrew Russakoff: All right. Operator, I think we'll take one last call if you can queue it up, please.
Jeff Kip: Let's just ask how many calls do we have -- how many questions do we have left in the queue?
Operator: We have one more, sir.
Jeff Kip: Perfect.
Operator: And the next question comes from Ygal Arounian from Citigroup. Please go ahead.
Ygal Arounian: Maybe just since this is your first quarter standalone, if you could just talk a little bit about how or if the strategy changes at all now that you're more independent, what kind of flexibility does it give you now that you didn't have in the future? And then on the self-serve platform for sales, just if you could expand on kind of how much -- what your expectation is for how much that can grow the pro count or how much efficiency you could drive as that comes on to the platform?
Jeff Kip: So in terms of our strategy with IAC versus without IAC, there's really no change. What we've been saying and executing on the last couple of years is the same today as it was a couple of years ago. We know that the North Star experience, the place where we get world-class NPS from our homeowners and high retention from our pros is when a homeowner on our platform hires a pro on our platform. And so we have been driving all of our experience towards improving that success rate. That's not going to change. We have to serve our customers, and we have to serve them with positive unit economics, and that's the core of what we're doing. I think we're very fortunate to be part of the IAC ecosystem. IAC has always looked to its companies to set their strategy and drive performance within their umbrella. And I think we're going to be continuing to do the same thing here. And obviously, we were lucky to have Joey as our Chairman as part of IAC and Joey is our Chairman post IAC, and that will continue as well. In terms of flexibility, the one piece you get is you get a more liquid publicly traded stock. That's great in terms of employee liquidity and stock-based compensation, and it's also of some value as a potential acquisition currency. Again, that's not something we're thinking aggressively about. There's limitations on what we can do there in terms of the spin-off. And the Board would also want to feel that the stock was in a place where that made sense as a currency. So I think longer term, yes, there are advantages. Shorter term, there's nothing that really changes in our mindset. Obviously, as I said earlier, whether it's cash or stock, we will do appropriate strategic operationally effective acquisitions so that we can create value, and we'll figure out how to integrate them and execute. In terms of pro online acquisition, which I think you referred to as self-serve, what I mentioned earlier is, we've been effectively doing this in Europe for years, acquiring north of 10,000 pros a month. The countries we're operating in, in Europe are, I don't know, half the gross market value of the U.S. market. And so there are some differences in the composition of pros. Pros in Europe tend to be more no employees as a percentage, roughly half, whereas we think it's more like one-fourth in the United States, which may lend itself more to self-serve. So we're not projecting 10,000 a month out of the gate or anything like that, but we definitely think that we can achieve some volume, and we can serve some pros who were not really ROI positive with the sales model where the CAC is higher or is interested in the higher ARPU model, the higher monthly consideration models that we sold before. So we think we can increase our network. We can increase our liquidity across tasks and geographies, and we think that it can net grow our capacity and, ultimately, our active network in a very cost-efficient way. In Europe, we've been able to run this at 4:1 kind of LTV to CAC. That includes all the organic traffic. I think paid incremental runs between 2, 2.5x LTV to CAC, maybe 3x when we're really firing in all cylinders. So we've got a great opportunity to kind of really replicate the unit economics that we've targeted with our sales force and grow our pro base going forward. And then once they're on the platform, we'll have the opportunity to upsell and bring them into adjacent geographies and tasks. We think there's opportunity. That being said, it's not out yet. We don't have real numbers, and we don't want to get too far over our skis in the spirit of setting reasonable expectations and outperforming.
Jeff Kip: So I think with that, we can wrap the call. I want to thank everybody for listening. Thank you, operator, for helping us. Thank you, everybody, for your questions, and we look forward to talking to you next quarter. Thanks. Appreciate it.
End of Q&A:
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.